Operator: Good day, ladies and gentlemen. Welcome to today's conference call to discuss Nano Dimension's Third Quarter 2020 Financial Results. My name is Rocco, and I'm your operator for today's call. On the call with us today are Yoav Stern, President and CEO, and Yael Sandler, CFO. Before we begin, may I remind our listeners that certain information provided on this call may contain forward-looking statements. The Safe Harbor Statement outlined in today's earnings press release also pertains to this call. If you have not received a copy of the press release, please view it in the Investor Relations section of the company's website. Yoav will begin the call with the business update, followed by a question and answer session at which time Yoav will answer questions regarding the third quarter 2020 financial results. I would now like to turn the call over to Nano Dimension's President and CEO, Yoav Stern. Yoav, please go ahead.
Yoav Stern: Thank you very much, hello everybody. Thanks for participating. As usual, I'll just give a very brief overview based on things that was written and your read, I hope. And then, we'll open up for questions and answers. So most of the discussions will be around what is interesting for you, based on your questions. So, as expected and starting the beginning of this year, when Corona erupted and I said this year is going to be nothing to write home about. It is indeed, results as much as financial results or revenue are nothing to write home about. Notwithstanding the fact that after the close of the quarter, we actually started to see machines being sold again, it's not in the third quarter, but rather in the beginning of the fourth mostly in the APAC area as early birds. So it is seemingly time to recover. But on the other side, in Europe, they wanted to do a second curfew. So everything is closing down, if not closed already for a while. And in the United States, frankly, there's no waves just slowly growing tsunami, which is causing differentially depends on where in the country, things not to work, especially when you deal with people buying our machines when nobody is ready to risk. In many cases, they have a curfew on the CapEx as well. Yes from that aside, we started NaNo services, NaNoS. And our services are slowly growing, because people are using our services. But the numbers are still small. And therefore, we took a decision, which you all know about it, if you read our news releases over the last three months. Not to overspend on marketing, positioning, go-to-market themselves, because this is like driving bicycles and turning your legs very, very fast, but backwards, because there's nobody home to buy. We're selling hardware very, very sophisticated machines and this is not software you can't work from home. You have to be in the laboratories. You have to be in the on the production floors to buy a machine. We have also machines resolved, we've been paid, and we didn't even install yet in different parts of the world, because the customers which paid are not allowed to open the offices for us to come and install the machine. So instead of spending money, too much money on that, we decided that we're spending it on product development to accelerate. So like a slingshot effect when the market recovers, which are my working assumption which is as good as anybody else, but I assume it's going to be the middle of 2021. And we heard about the vaccination already. And which I saw them said that this is going to start the recovery, because - especially because of the psychological part of it, which is a big part of this whole pandemic anyhow. So until then, we are hoping that what we are investing based on your support and the money we raised in the acceleration report, that would take us to a very, very good spot when the CapEx is going to be released. And then, when the machines are going to be purchased again, it could be different machine, which we will release around the time barrel machine. And then, we have next generation machine coming based on investments we're doing today as well, but not before the end, beginning of 2022. So we are very, very strong - very, very strong feeling about our success, looking around for the M&A as you know, and things are slowly developing there. But more importantly, we're just closing the transaction, which we'll eventually do. We are seeing what's happening in the market because of the research we're doing, looked at 50 companies. And I believe that our advantage is clear. I'm starting to see signs of competition, which I'm very happy about but they are far behind. So I think we have about two years, runway which has mentioned about 1.5 years to 2 years. And that will enable us the mid-year, beginning and mid-year to start to see result and positioning in the market. We have very large institutions that are potential buyers, both of our machines and of our company that are working with us on very special projects, NaNoS which are using our machine to develop very, very unique devices for them. So we're very happy about that. And bottom line, we also have to sell machines. So the fact that we sold two machines one in Australia, one in another country in the APAC area, and can take away from the fact that it's an encouraging sign. Being pessimistic and I'm saying, let's not jump from the roof with happiness and joy Mark, still, it's a good sign. So that's what I had to say. And I'm looking for questions, of course, to give me direction where you want me to go, I'll just mention one thing more thanking everybody, either they're on the line or not, that helped us in positioning ourselves to be able to execute everything I discussed here. We have above $100 million of cash by now and the company we feel it's enough both for our acquisition plans and for our aggressive product developer plan. So we're very, very content and we are thanking you for your support. Operator, I'm now ready to take your questions.
Operator: Absolutely, we're now ready for the question-and-answer session. [Operator Instructions]. And today's first question comes from Punit Maheshwari with HRS. Please go ahead.
Punit Maheshwari: Hi, this is Punit Maheshwari. And first of all congratulations to the management for the fundraising in the difficult environment and that shows the confidence of the - in the form and the technology. And I have multiple questions. First is in last quarterly call, you said you have $45 million and we have four years of runway given that money. And after that we have raised another $66 million. And if I'm right, from after deducting the revenues, we're left with $45.3 million. So it's like $4 million per quarter, in this quarter we spend, instead of $1 million, which you projected last quarterly call. So why is this difference of - why the run rate is so high from the last quarter? And…
Yoav Stern: I don't know what you're talking about. But we don't spend $4 million a quarter, we never spend $1 million a quarter of cash. When I joined the company in January, the company was spending around million dollars a month. And it was never went - it went down from there because I cut expenses initially. So it went down to $800,000 a month, which is $2.4 million this quarter. And now, once we raised the money, of course we accelerated it, because the whole idea about investing in product development is to invest and invest these expenses. You don't capitalize it. So we're now - if we're close to $4 million a quarter, which is $1.25 million a month, trust me is going to be higher than that as we move forward. I am going to take care of it because this is what I mean by investing and accelerating the technology.
Punit Maheshwari: Thanks, for the explanation. That's what I was looking for and if you can help me - if you can highlight the number of NaNo Services, NaNoS this quarter?
Yoav Stern: We don't publish the NaNo Services separately. But it's as I told you, its non-material. Actually, it is material when the revenue is low, because retail is in the range of hundreds of thousand not in the range of millions. We started at about three months ago. So depends on what you call material, but it's definitely hundreds of thousands, not millions.
Punit Maheshwari: Okay, that's encouraging, because last time it was 52,000. So, I am looking for just a growth there. And I'm happy to see increment here. So, thank you.
Yoav Stern: Sure, sure.
Punit Maheshwari: And one last question I have from your presentation slide, Slide 8 biotech like model. In which you have given Stage III is Mil-Spec, we'll develop Mil-Spec materials by 2022.
Yoav Stern: Yeah.
Punit Maheshwari: And if in the various presentations we have seen - we have already sold to defense contractor without naming names, so what kind of materials they are using till now if we are developing Mil-Spec by 2022?
Yoav Stern: That's a very, very good and smart question, actually. The answer is as follows; as long as they're using the machines for prototyping and proof of concept, they can use it with materials that are not standing by Mil-Spec which is our materials today because, it's not going into the final product. Give you an example. They are developing a very, very unique high performance [Indiscernible]…
Punit Maheshwari: I understand, I am a mechanical engineer. I understand, I have worked with - I am a mechanical engineer, so I understand. So for defense contractor this is only for prototyping and not for small batch production as of now, right, if I'm not wrong?
Yoav Stern: That is right. The machine can do small batch production, but as long as the materials don't withstand the spec for the specific company. Now, having said that, if you're an engineer probably know that some defense companies will still take non-Mill-spec products if need be, because the Mill-spec is not a digital 1-0 binary. Mill-spec is a set of 20-30-40 guidelines. And sometimes they will take certain - sorry, certain materials that don't stand 100% in Mill-spec our materials are getting slowly closer. So if they have a certain application that can withstand lower than Mill-spec, they sometimes take it because they don't have a choice. And then it will go into production. But the big move, the big what I call an inflection point where our machine go into production will be on pair vertical basis, when we will fit commercial spec, then industrial spec, then mill spec in the specific verticals. And then the machine will go into production. That is when - that's the inflection point.
Punit Maheshwari: Thank you very much for all the explanation. And all the best for the future, I'm looking forward to be a long-term investor.
Yoav Stern: Thank you so much.
Operator: [Operator Instructions] And ladies and gentlemen, this concludes our question-and-answer session. I'd like to turn the conference back over to the management team for any final remarks.
Yoav Stern: Okay, thank you very much. Again, I hope that the fact that there was just a small amount of questions, is an indication that the news release and the information is clear enough and not indication of the opposite, where people didn't find even a place to ask a question. I'm sure it's the first one. I know many of you and I invite everybody to call the company or call myself offline if more questions come up. And we will be always be there to help. I'm traveling by now back and forth between continents in spite of the corona because I feel I have to be in where the market is. So I'm sometimes in quarantine, but we found out that we work from quarantine actually more because 12 hours a day work. So you can always find me and please don't hesitate to call, same for Yael. Thank you very much, everybody.
Yael Sandler: Thank you.
Operator: Thank you. This concludes today's conference call. We thank you all for attending today's presentation. You may now disconnect your lines. And have a wonderful day.